Margherita Della Valle: Good morning, everyone, and thank you for joining us today. Before moving to Q&A, I will briefly provide an update on our transformation progress and financial performance. I want to specifically talk you through our operational execution in the first half in Germany and the U.K. In Germany, our turnaround continues. And in the U.K., we are now driving the integration of Vodafone and Three, both of which remain top priorities. But first, a quick recap on our position as a group. As you know, over the past 2.5 years, we have changed both where we operate and how we operate. In the last 6 months, we have completed the reshaping of the group that I announced in May '23. We have completed the merger of Vodafone and Three in the U.K. and the acquisition of Telekom Romania's assets. All of Vodafone's operations are now in a strong position, at scale in all our markets. And importantly, all these markets have sustainable structures. Our capital structure has also been reset with appropriate investment levels, a stronger balance sheet and over EUR 5 billion returned to shareholders via buybacks and dividends over the last 18 months, with a further EUR 1 billion of buybacks to come over the next 6 months. But most importantly, we have also delivered a step change in our operational transformation. Whilst we still have more to do in our drive to operational excellence, we have boosted customer satisfaction, we have simplified our operations and powered growth beyond traditional connectivity by expanding our digital and financial services. Now, mentioning growth leads me on well to our financial results. We performed well in the first half, in line with our expectations. Our group service revenue growth has accelerated to 5.8% in Q2, supported by growth across Europe and Africa. On the profitability front, group EBITDAaL grew by 6.8% in the first half, with nearly all our markets posting EBITDAaL growth. With this solid performance across the group and a positive outlook, we have confirmed today that we now expect to close the year at the upper end of the growth guidance that we set out in May. Alongside solid financial results, we have also made good operational progress in Germany and the U.K. Our 2 largest markets have different starting points and different competitive landscapes, but both markets are demonstrating the impact of our strategic priorities, customer, simplicity and growth. Taking it to market in turn. Germany is the largest telecom market in Europe, and we operate at scale across both mobile and fixed. In mobile, our 5G stand-alone network covers over 90% of the population, and now, serves over 40 million customers, including 1&1 as well as almost 60 million IoT SIMs. And on fixed broadband, we can offer gigabit connectivity to 3 out of 4 German households, more than any other operator in the country. Our gigabit broadband reach has indeed continued to expand during the quarter. We are now marketing OXG fiber to 1 million homes. Our brand is strong, and customer satisfaction in Germany has stepped up in the last 2 years. We have simplified customer journeys. We have introduced GenAI in customer care across chatbots and agent assistance. And our improvements across all call center KPIs are being recognized by independent testers. And in terms of growth, we have followed a disciplined execution focused on value. We have introduced new propositions in mobile, driving differentiation and upselling, and we have continued to increase front book ARPUs in fixed. We also continue to expand our capabilities to satisfy the growing demand for digital services. Just 2 weeks ago, we announced the acquisition of an established cloud service specialist, active across Germany and Europe. Looking at Germany as a whole, we are well positioned to drive structural growth, as we have the right assets and the right team in place, a team that is fully focused on becoming the market leader in customer experience, a one-stop shop provider for fixed, mobile and TV and a trusted B2B partner of choice. And now, on to the U.K., we are the largest mobile operator in the country, serving almost 30 million mobile customers, and we are also the fastest-growing broadband provider, with the largest gigabit footprint of any operator just like in Germany, as we are able to sell fiber to about 22 million U.K. households. Vodafone U.K. is already the market leader in customer satisfaction, and we are now extending our customer experience standards to Three customers. And all of our customers are set to benefit from our GBP 11 billion network investment, as we build the best-in-class 5G network for the U.K. We have made a very fast start. Independent tests are already confirming noticeably better speeds and coverage in less than 6 months. In terms of growth, as you know, we have good commercial momentum in the U.K., which is now being supported by our cross-selling opportunities, with Vodafone broadband offers now open to Three customers and FWA open to Vodafone customers. And our multi-brand approach is proving effective in making the most of the market demand opportunities. The combination of these revenue synergies with our GBP 700 million cost and CapEx synergies gives us a strong growth trajectory in the U.K. We will leverage our unique assets in the market to extend our customer experience leadership, monetize our improved mobile network quality and continue to drive fixed service growth. And this is just our 2 largest markets. We hold leadership positions across our African markets, where yesterday, the team reported another strong set of results, in line with their medium-term double-digit EBITDAaL growth guidance. We are excited about the future in Africa, as it combines structural opportunities across all our services, from core connectivity to financial services to B2B. Coming back to group in closing, our objectives continue to be the same, to improve our customer experience across our markets, further simplify our business and deliver sustainable cash flow growth in FY '26 and beyond. The turnaround of Germany, the U.K. integration and our strong positions in growing markets across Europe and Africa, all give me confidence in our growth outlook. With the reshaping of the group behind us, now is the right time to deliver on our ambition to grow our dividend over time. We announced today that we are moving to a progressive dividend policy. And now Luka and I are looking forward to your questions.
Operator: [Operator Instructions] The first question this morning comes from Maurice Patrick at Barclays.
Maurice Patrick: If I could ask a little bit about the EBITDA run rate for the second half and also next year, so you've delivered 6.8% organic year-on-year growth, you tightened the guidance towards the upper end of the range. I think if I look at the full-year guidance, it implies 4%, 5% growth for the full year. So your guidance, even at the high end, seems to imply a slowdown versus the first half, despite Germany probably having easier comps. As you exit the MDU drag, maybe you could help us understand some of the EBITDA sort of levers in second half. I know you called out higher SAC in the U.K., for example. And it's probably a bit early to talk about FY '27, but if you could give us some indications of some of those building blocks, that would be very helpful.
Margherita Della Valle: Sure. Luka, all over to you.
Luka Mucic: Excellent. Well, first of all, of course, we are very, very pleased with our performance in H1 on the EBITDA front. This was really a combination of very strong emerging markets growth, in the U.K., doing very well. And then Germany, improving as well over the last year, given that the MDU impact is now dissipating and we had a benefit of wholesale. If you look forward to the second half, yes, our outlook at the high end of the range implies a slowdown. And there are 3 factors that I would call out for that. On the positive front, we absolutely expect Germany to continue to improve in H2 because then we have 0 MDU impact, and we will reach the full run rate of our wholesale migration of 1&1 this quarter. So from Q4, we will then be at full run rate, just standing at around EUR 11 million. So we're almost done with the migration there. So this will help, of course. But on the flip side, first of all, we continue to expect that our emerging markets' growth contribution will trend down given that inflation moderates. You have seen some of that already in the first half year. I think that trend can be expected to continue. And also the U.K., which had a very good first half, we'll see a slowdown in EBITDA growth, first, because -- I know I've talked about that already on the last earnings, but there should be a slowdown in topline growth, in particular, in Q3, as we are facing very tough compares in particular in our B2B business, where we had a positive one-off last year, which should then sequentially increase and improve going into Q4 and beyond into FY '27, but it will dampen the performance. We also had some phasing impact in the strong performance in the first half year in the sense that the marketing expenses that are planned for this fiscal year in the U.K. are more back-end loaded to the second half year. So if you pair that up with the emerging market slowdown, that's driving the expectations. Now, FY '27 is in particular, for me, very far out. Obviously, I'm sure Margherita and Pilar will be back to give you a precise outlook going into FY '27. From my perspective, perhaps just some high level puts and takes. First of all, we would expect the U.K. to be a very positive contributor and have a strong EBITDA performance based on the fact that we expect, for the first time, more sizable synergies from the merger coming together for this year, that was really basically no contribution from synergies, but it will start to step up in the next year. And in Germany, we will face puts and takes, obviously, in the first half, the benefit from the MDUs being fully out of the numbers, and in Q1, still a ramp-up effect from the wholesale migrations. But then for the remainder of the year, they will be out of the numbers in terms of year-over-year help. So then, we will have to see what the market conditions do to see what that means for the German performance. And then, also in FY '27, I would continue to see a year-over-year challenge from an emerging markets growth perspective. On the positive note, I think what we are seeing is that the mix in our EBITDA contribution continues to shift back more favorably to Europe now in the balance between emerging markets and Europe, and that obviously drives also good predictability, which should be a net positive.
Operator: The next question this morning comes from Akhil Dattani at JPMorgan.
Akhil Dattani: I've got a question around Germany, just to unpack a bit of what you mentioned, Margherita, around the turnaround initiatives that you've taken so far, and how we see the fruits of that bearing into the numbers. You talked just to a lot of different things that you've done in Germany. But if we look at the moment and we strip out the MDU effect and the 1&1 impact, the German revenue trends are still declining 2% to 3%. So I'd love to understand what you think it takes in the timeline to see the underlying momentum starting to improve. And then, if we layer on to that, the scale effect of 1&1, how should we think about the H2 outlook for Germany for revenue and EBITDA?
Margherita Della Valle: I will maybe ask Luka to take the last part of your question on 1&1, and then, I'll talk to the actions that we are taking. We seem to have a mic to fix, apologies for the...
Luka Mucic: I hope I was still able to be heard in my first answer.
Operator: Yes, you were. Please go ahead, Luka.
Margherita Della Valle: 1&1 first.
Luka Mucic: Okay. Sure. So first of all, in terms of our expectations for Germany overall, we certainly expect that Germany will continue to grow in the second half year. The wholesale support will obviously be a factor, in that I would also expect that towards the end of the year, our B2B performance will start to move upwards because we had very good success of contracting new digital services business that always takes a while to come into the numbers, but that should be helping also the year-end performance there. In terms of the impact that it has had, I really prefer always to talk about wholesale as a whole because in conjunction with the 1&1 win, so to say, we had also then a subsequent loss of another smaller MVNO, Lyca, which went the other way around. If you make the math out of those, the contribution of both in the quarter was just above EUR 80 million as a whole. And then, in the second half year, we would expect that the contribution from 1&1 will also be around EUR 100 million. In Q4, we are lapping then the loss of Lyca. So those are kind of the puts and takes to take into account in terms of wholesale momentum. Yes.
Margherita Della Valle: In terms of underlying performance, so if we exclude wholesale, Akhil, you are absolutely right, it's broadly stable. And if I look at the second half of the year, you shouldn't expect to see big step-ups quarter-on-quarter. But over time, the actions I was referring to in my introduction, which are all speaking to the long-term health of the business, will actually support our topline performance. It's a bit early to talk about '27, as Luka was mentioning before because, I mean, also in Germany, we will obviously have to see what the environment will be, both from a macro and from a competitive perspective. But whilst we should expect the headwind in TV to continue, and equally, we don't have full control of the dynamics in mobile, the topline will benefit from these actions. And let me maybe bring this to life a little bit. So first of all, we have talked about customer experience improving. With customer experience improving, we are seeing churn reducing. It's coming through in our numbers. Clearly, the customer experience is improving because of the investments in our networks, because the changes to our approach to customer service. Overall, net-net, the NPS is going up. We are continuing to beat record levels for us in fixed and stepping up in mobile. In some subsegments, we are now actually leading in the market. Clearly, there is more to do, but all this is playing in our numbers to churn. I talk to the work we are doing on ARPU and supporting value in the market. We're really focused there on all what is in our control, and this is going to, again, help us. In fixed, you will have seen, for example, us gradually moving up front book ARPU in the last 6 months. The last moves were only 3 weeks ago, and we are seeing the benefits of that in mobile. We have upselling. And finally, actually, Luka mentioned B2B. B2B is perhaps one of our biggest growth opportunities in Germany. We are investing in digital services. Again, you've heard the Skaylink acquisition. It's growing double digit. We see this as supporting growth going forward. So all this, as a package, is really the result of the actions we have taken supporting our long-term health of the business as we go into FY '27.
Operator: The next question this morning comes from Carl Murdock-Smith at Citigroup.
Carl Murdock-Smith: That's great. I wanted to ask about the U.K. You touched in the presentation on making a fast start on integration. Can you provide a bit more color on your early actions and synergy delivery? And also comments on in what ways the commercial performance in Q2 and revenue has been a bit better than the decline you had suggested we could expect when you spoke at last quarter's results.
Margherita Della Valle: Maybe, again, I will let Luka start with the outperformance on the revenue front, and then, I will pick up on the integration.
Luka Mucic: Yes, happy to. I mean, normally, CFOs don't like surprises, but in this case, I will make an exception because, indeed, we saw obviously coming into the merger a combination of a slowdown in Three that we have discussed at our last earnings call, plus we had the underlying challenge in our own business, so to say, before the merger with the B2B managed services terminations that we had to fight against. So that was underpinning, I would say, a cautious stance. Also, if you take into account that the team, of course, was to be very busy on all of the integration steps. But I have to say -- the teams together and driving for very, very positive actions in terms of rolling out our base management practices to Three, making early wins on the network quality and improvement front with the sharing of spectrum and now increasingly the activation of MOCN, which obviously is positive, in particular, also helping performance on the Three network. So in that sense, we have seen a combination of improving churn trends, very good consumer performance, in particular, in home broadband, which I think had the biggest net adds jump in the quarter that we have ever seen in Q2 in the U.K. Then also initial cross-selling benefits and successes. FWA was a very positive story for us. And that in combination has outweighed the underlying decline in B2B legacy managed services to an extent that, frankly, was a bit better than what we would have expected. So very positive. I should perhaps add as a last point that the good actual current commercial trading performance was not only in consumer, but we had actually also a good performance in B2B, not enough, of course, to change the trends from the managed services side for this year, but of course, encouraging if we move further beyond that.
Margherita Della Valle: Just a bit more color on the actions, I'd say and reiterate, as Luka said, the team is doing a really great job. I think we are progressing at a pace that has not seen before in U.K. telcos in terms of bringing the 2 companies together. Just to give you a sense, we're only a few months in, and we are already completing the integration of the third levels in the organization. And on networks and on other operations, what are the things we are seeing? On the network front, we talked in Q1 about higher speeds for Three customers, the whole customer base of Three, because of how we are using the spectrum together. I'd say Q2 was all about rolling out our multi-operator core network to allow customers to use seamlessly both networks. You may remember me saying that we had a target of 8,000 sites upgraded for MOCN by year-end. Well, actually, it will be, I think, by tomorrow, is the latest. We will get there this week. And this obviously talks to the reduction of not spots for our base. You know that we are targeting a surface of 10x the size of London. And it's actually really visible today. You don't need to take my word for it. Opensignal has already published the report, saying it's noticeable and measurable. I can't wait to tell you more about this in the coming quarters, as we will also see the customer reactions. But it's a very strong pace. Operationally, beyond the networks and the teams coming together, what is also coming together really well now is what I would call our multi-brand strategy. We now have a single team, for example, in consumer, managing across all our brands. And these brands allow us to cover all market needs, and do this in a consistent, coherent ways is quite powerful. And then, as Luka mentioned, we have been opening cross-selling. So that's obviously supporting our commercial momentum. We were already the market leader in growth in broadband. We are now offering our broadband offers to the whole Three base and the FWA offers to the Vodafone base. As you can see, almost -- the first things we are excited about at the moment are the revenue synergies, and this come, of course, on top of the GBP 700 million cost and CapEx synergies that are, of course, part of our business case. So good momentum in the U.K., and you will see this continuing ahead of us.
Operator: The next question comes from Polo Tang at UBS.
Polo Tang: It's a question on Germany. So there are proposed changes to legislation that will make it easier for operators such as Deutsche Telekom to access MDUs and deploy fiber. So what's your view on the impact of these potential changes? And can you also talk to the economics for the OXG fiber JV? From memory, it's about EUR 7 billion of CapEx to build a footprint to 7 million homes. But can you remind us what the equity injections that are required for the JV? And how should we think about the wholesale costs that the German unit has to pay to OXG JV longer term?
Margherita Della Valle: Thank you, Polo. I think I will take both sides of your questions, maybe starting from the draft Telco Act, which is being discussed in Germany. And there are a lot of measures as part of this that are all geared towards simplifying and accelerating high-speed network builds in Germany, for example, by simplifying permits processes. And this is actually really good. It's good for the fiber build-out. It's good for the 5G build-out. So I think the government is really pushing in the right direction in the country. Now, as part of all the discussions going on, there are some elements, and you referred into the in-building wiring debate that we feel are unnecessary, and we're openly sharing our -- what I would call, our real-life insights on what's happening on the fiber building. And I think it's very clear to everyone that the bottleneck in fiber building in Germany has nothing to do with housing association and has more to do with other factors such as construction capacity limits. But beyond that, today, these are discussions. There is no draft law to really comment upon. But just to take your point, even if all the discussions that are going on were translating into law, for the reasons I've just described, actually, the impact is going to be just a marginal, maybe acceleration of the fiber building towards the housing associations. And that will benefit all players in the market, including OXG. It's unclear whether this discussion will ever become a draft law, and it's unclear at this point when this draft law will become law. But assuming it happens, if it happens at some point in 2026, you need to keep in mind, and I'm going to the next part of your question, that by then, OXG will be already marketing anyway to millions of customers in the housing associations. So, standing back, I don't see this as a major impact on whatever speculation is going on, definitely. And the other point I would say is that actually, if you take all the discussions that are going on in Germany across the Telco Act and across the copper switch off, again, I think it's moving in the right direction overall, and it will be supportive for telecoms overall. You asked about OXG economics, I think. And so on the equity injections, these are very small. I mean, obviously, Luka could add any detail. But I think we said this when we were setting up the JV because of the, I would call it, self-financing over time. It's really at the margin in terms of equity requirements, very, very small. On the front of the wholesale costs and revenues, depending on which side of the equation you look at, I think -- I know that there has been some work going on, on trying to, from an analytics perspective, get to this calculation. I think it's really important that you keep in mind that it's a very -- let me say, there are 3 nuances to the calculations that maybe are worth sharing, and IR can help you sort of bringing them to life more precisely than I can do in a call. The first point is that there is no commitment or obligation whatsoever for Vodafone cable customers to be migrated to fiber into OXG. That just is not there. The second aspect is that 20% of the OXG footprint will be actually outside the cable areas. And then, finally, obviously, penetration into the OXG households will build over time. So it will be during the 6 years of rollout, which are exactly planned, as you were describing, but it will also obviously continue to build after that. So all this is very gradual, and I think brings to, I would say, a different conclusion than some of the calculations we have seen, but I would let really the IR team to help you out on where to go. I would just say that we are really happy with the progress now with OXG. You know that the first year, 1.5 years, obviously, were challenging to set things up. But we have now already built to 350,000 households. We are opening the -- we have opened the sales to 1 million households. We have connected the first customers. We have also opened wholesale, 1&1 and a regional operator are already connected. And 3 million households are already, let's say, committed in the construction orders. We have more than 30 construction partners. I mean, it's a big building site across many, many cities in Germany, and we now look forward to see this coming through in our numbers.
Luka Mucic: Just very quickly on the equity. So in 3 years, the equity contribution and injection was just above EUR 70 million. So it's really to underscore the point for Margherita, very, very small.
Operator: The next question this morning comes from Emmet Kelly at Morgan Stanley.
Emmet Kelly: My question, yet again this quarter, is on Vodafone Turkey. On my numbers, it represents, I think, almost half of the organic EBITDA growth that we've seen since last year. I guess, most notable is the EBITDA margin uptick at your Turkish business. So could you talk a little bit about the topline trends you're seeing there and expect to see? And on your cost management program, if you could say a few words on that.
Luka Mucic: Perhaps I can take this because indeed -- I mean, Türkiye has been a tremendous success story in the last couple of years, not only in terms of the financial success, which has been clearly there, just to give you some absolute numbers, which are perhaps not so easily visible, just in the last 2 years, they have increased both EBITDA as well as cash flow back close to EUR 300 million each, which for the size of the business is obviously a tremendous improvement, and that's in hard currency, so not in local currency. And while that growth, of course, inevitably, as we had already indicated, has started to come down because of the lowering in inflation. It's still significantly outperforming inflation. And in absolute terms in euros, it has still been in mid-teens on the service revenue front in the last quarter and was more than 20% up in hard currency for the half year. So where is this coming from? It's coming from a set of unique capabilities. Yes, the team has always been very prudent and forward-looking and leaning into the inflation environment by managing costs very successfully, but there is more to it from my perspective. Türkiye is probably among the best digital capabilities that we have across the group. They have a very high proportion of digital sales. They have a very agile base management model, like a very targeted micro-segment-related calls to provide them access to targeted upsell offerings, post-to-post migrations. So the team has really built a machine there around a set of digital capabilities that are very unique and that we are partially exporting also to other countries, such as the loyalty app, for example, the happy app that we're now also rolling out in other countries. So it's not only a story of cost-cutting and riding an inflation wave, not at all, it's actually based on a very proven and successful management model. And while I've shared before that, as we think forward, certainly, the inflationary trends will continue to recede, and therefore, growth may come down. I think they have been increasing also their relative competitive position in the market. And I think that based on the strength of the management team will certainly continue.
Margherita Della Valle: If I can just build on that, Emmet, for a second, looking at the group as a whole, we are extremely proud of Turkey, but I need to say, we're equally happy about all our countries. We regularly publish in our reports the service revenue growth ex-Turkey given the hyperinflation environment, and you have seen this growing to 3% in the quarter. And this is a reflection of the strength of the portfolio. We have Africa, of course, also growing strongly, double-digit EBITDA growth, which is in line with our upgraded guidance there. And then, overall, taking on the opportunities in the U.K. that we have just described, and the turnaround in Germany, where we have now turned the corner with the topline, but obviously are looking forward to the profitability improvement, all these taken in aggregate is, I would say, where we wanted to be through the group transformation. And it's the reason why you hear us talking about an outlook of midterm free cash flow growth. Yes, every part of the group is contributing.
Operator: The next question this morning comes from Joshua Mills at BNP Paribas Exane.
Joshua Mills: I wanted to come back to the U.K. market and focus on your FWA proposition in particular. So following the Three U.K. merger, you had a very strong spectrum position. You mentioned in your comments earlier that you're happy with how the FWA business is developing. Could you give us a bit more detail about the net adds on that business? And what your longer-term ambition with FWA might be? How you balance that against the desire to grow on the fixed broadband base as well? And just one short clarification, when you have your FWA customers, are they included in your broadband numbers or your mobile customer numbers?
Luka Mucic: Yes.
Margherita Della Valle: Yes. I'll start from -- I'll cover it all in one go. The net adds are in mobile because that's the supporting technology. And if I'm not mistaken, it's 17,000 in the quarter. They have accelerated, but let me talk to you about how we look at FWA more broadly. It's obviously a great opportunity for us to leverage, what I would describe, as our overall asset superiority in the market. We have -- I was talking earlier, the largest fiber footprint available to our customers with 22 million households, but obviously, fiber in the U.K., is not everywhere yet, whilst we will be offering FWA to all the population in the U.K., thanks to the capabilities that we have today. And we see it as an opportunity because it allows us to bridge the time until fiber comes and maybe cover areas also where fiber may not come at all in the most rural areas. If fiber comes, it's great to get our customers first on FWA, and then, moving them on as the time progresses. So we really see it as an opportunity in the market. As I said before, it's now open to everybody, whether they are in Three brands, or I would say, ex-Three brands, ex-Vodafone brands, and we look forward to see this support our growth.
Operator: Now to the next question from David Wright at Bank of America Merrill Lynch. David, we cannot currently hear you.
David Wright: Sorry. I'm on the -- I do apologize and apologize for no video or lower -- maybe not a bad thing. But just a technical question, I suspect, just for yourself, Luka, super straightforward. In the first half, adjusted EBITDAaL common functions was maybe a little surprisingly negative. It shows minus EUR 14 million. It's been running a fairly consistent clip of EUR 22 million, EUR 23 million in the last couple of halves. So just any explanation there and just how we should think about that full year number and maybe even into 2027? That's it from me.
Margherita Della Valle: It reminds me of the old days because when I was CFO that it was a recurring question, ultimately. It's actually quite structural. Maybe you want to go to that?
Luka Mucic: Yes. Exactly. So if I go back in the history, to Margherita's days, before I arrived, I think, historically, common functions EBITDA was actually always negative. And then, in the last 2 years, it turned positive as a result of some of the M&A activity that was going on, which created one-time effects. And last year, it was also helped through a quite sizable central provision release, and that is obviously creating headwinds in the year-over-year. But structurally, from a go-forward perspective, should actually expect common functions EBITDA to rather be negative than neutral to positive. And the reason for that is just simply that the help from kind of the M&A transition to also above the line EBITDA recognition essentially is dissipating.
Margherita Della Valle: Just to come back to why it's been structurally negative. It's a very simple thing, David. It's because -- you know that our shared operations' costs are paid for in the markets, but that's not the case for what we call corporate services. So just the HQ cost, I mean, if I take ourselves and the IR team supporting this core, right? This stay at the central EBITDA level, which is a cost, but don't see this as big movements.
David Wright: Okay. Can I take that H1 number and just double it for the full year? Is that reasonable just to get a proxy?
Margherita Della Valle: Well, it's an area that, again, because we are talking about small numbers, can have variations. So I think we wouldn't be very specific at that level of detail, to be honest.
Operator: The next question this morning comes from James Ratzer at New Street Research.
James Ratzer: So we haven't yet had a question on the dividend, I think. So it would be great just to get a kind of updated kind of thinking on cash return for kind of next year and beyond. Because I think in the past, you've set out you had a kind of ambition to grow the dividend and to be progressive. You've now been more quantitative. But just for this year, I think, you've just set out the 2.5% for this year, but really kind of not beyond FY '26. I mean, it looks to me like leverage is going to end up right at the bottom end of your 2.25x to 2.75x guidance. So, going beyond FY '26, how are you then thinking about what progressive dividend could look like and potential scope for any share buybacks going into next year?
Margherita Della Valle: Sure, James. I have to take this one in this round given that this is going to be the last call from Luka. Let me give you a little bit the broader picture now how we think about returns as you're saying. So first of all, we have given you good visibility on one component, which is dividends. We are talking about a progressive dividend policy, which means that we expect growth year after year going forward. The first year is expected to be 2.5%. So we've been quite detailed. Of course, we will have to assess this every year from now on. Why progressive dividend policy? It's simply because you have heard us say, when we reshaped the group, and we rightsized the dividend according to the new shape, we were very clear from the beginning that our ambition was to grow the dividend over time. In this half year, we have completed the reshaping with the U.K. And so the time is now. You know that we have an outlook supportive in terms of midterm free cash flow growth. So it was appropriate to bring the ambition into reality. As far as buybacks, clearly, these are also a component of our toolbox for shareholder returns. We are EUR 3 billion in the EUR 4 billion that we had communicated at the time of the various transactions. And starting today, the penultimate tranche, so in the next 6 months, we will be busy on delivering another EUR 1 billion. Beyond that, we will have to assess our position. We will assess our position depending on -- and I think you are spot on, depending on where we will be as a company, where the market environment will be at that point. And we will clearly assess it through the lens of our capital allocation policy that you were referring to earlier, which I think is very well known. So, full visibility on the dividend decisions on the buyback when the time is right.
Operator: The next question this morning comes from Paul Sidney at Berenberg.
Paul Sidney: I just had a question around the Skaylink acquisition. We've seen a lot of excitement in the sector around data centers, AI, cloud services, cybersecurity, you name it, obviously, Deutsche Telekom, announcing a pretty high-profile partnership with NVIDIA to build a data center and Telecom Italia having a recent event, looking at their AI capabilities. So just a very broad question about is this really a material revenue driver for your business looking forward? And could we expect more similar acquisitions to Skaylink in some of your other geographies?
Margherita Della Valle: Sure. Paul, let me try and give you a bit of an overview on how I look at this. So first of all, digital services are now over 1/4 of our B2B revenues. So it starts to become quite material. And it's going really well. We continue to use the word double-digit. It's basically double-digit everywhere. It's double-digit in Germany. And overall, I think there is a lot of potential for us to grow in B2B in these domains. And that's why we have, even before the acquisition of Skaylink, continued to invest. I mean, 2 years ago, for those of you who remember, I was talking about, again, for the long-term health of the business, stepping up the investment in B2B in these areas, and it's all been about building capabilities to essentially respond to the demand of our customers. Now, in terms of all the points that you have raised, I think it's really important for us to assess where there is demand, where this demand is best served by Vodafone as opposed to other areas, and where there are also good returns. We certainly see big opportunities to continue to grow on IoT. We could go on and talk for hours about IoT. We see equally very good growth for us already today in cloud, where Skaylink operates. Cloud is a big contributor to our double-digit growth, and also, security with cyber in mind. We also think that our, I would say, most biggest opportunity segment-wise are in the SME space on all these services, so middle-sized company. Why? Because these are the companies that are used to buy technology from Vodafone. We have been serving connectivity to them. We have strong partnership. They look at us to help them. In these days, for example, sovereign cloud is a super big topic of conversations. We are well placed to help them with that. The more you go in the value chain, especially in Europe towards things like gigafactories and other areas, I think you will see us sort of prioritizing in a very clear way because in some areas, the economics are still to be proven, the capacity utilization needs to be proven, and therefore, we are very rigorous in the way we go about the opportunity to serve the demands by starting to address the areas which really, for us, are low-hanging fruits. And to your question, yes, there will be more activity in this space in terms of building capabilities, and sometimes, this may continue to involve small bolt-on M&A.
Operator: We have time for one last question this morning to allow all participants to observe the 2-minute silence at 11:00 a.m. for Remembrance Day here in the U.K. This last question comes from Robert Grindle at Deutsche Numis.
Robert Grindle: Great to see your stock get its mojo back. I hope that translates to Italy and Germany, especially before Luka moves on. Margherita, the footprints reshaped, you've merged the U.K., not to mention all the operational stuff. This was a large entrée. So what do you look forward to spending more time on with your new CFO colleague? We have the capital allocation question. You addressed that. More capabilities in digital seem to be underway. Do you see any footprint infill need? Any more consolidation opportunity? And conversely, do you see that the Vodafone balance sheet needs further simplification?
Margherita Della Valle: As you indicated, we are really pleased to have, I call it, completed the building site after the last couple of years and get the group we wanted and see our position today being at scale with strong brands in all the markets in which we operate, and these markets being markets where we have sustainable structure. This is all the foundations we needed for good growth. Looking forward, there is obviously much more to go for, but you should expect that not to make the headlines through M&A. You should expect that to be our continued execution of our transformation. And really, all we need today to make the most of our growth opportunities, be it in Germany, be it in the U.K., be it in Africa, is disciplined execution, focused on operational excellence to make the most of what we have. And I mentioned earlier, customer simplicity and growth. Our priorities have not changed. Our opportunities have not changed. It's great that today, we are in a completely different position on customer experience, but lead and colead in 11 out of 15 markets is not enough. So my #1 priority will continue to be to push on that. Group simplification, we have made lots of inroads. I mean, we are completing this year the, for example, roles reduction that we talked about to simplify the group when we announced the strategy. But there is always more to do, and we have the opportunity to become much more simpler. I mean, one of the slides, by the way, in our PowerPoint today is about AI because there is a lot to go for to make us faster, more agile. And then, you mentioned B2B. And it's been a feature of this call, which I really appreciate because I believe it's a strong opportunity for us. If you think about it, we have a really strong competitive position there. We are trusted by businesses and governments across Europe and Africa. And so it's a fantastic growth opportunity. In all the areas we operate in, we have strong demand for our services. So it's about really bringing -- accelerating the growth in the years ahead now, and it's in our hands.
Robert Grindle: Great to hear. Good luck, Luka.
Luka Mucic: Thank you.
Margherita Della Valle: Thank you. We're on time.
Operator: This concludes the Q&A session. And I would now like to hand it back to Margherita for any closing remarks.
Margherita Della Valle: I would really like to take the opportunity to thank Luka, last call. Luka has been great support on -- well, all the things we've talked about in this call. And thank you for your time, as always, today, and look forward to see you all in the next quarters. Thank you.